Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to Koppers Holdings Inc.'s fourth quarter and full year 2025 earnings conference call and webcast. At this time, all participants are in listen-only mode. If you need assistance, please alert a conference specialist by pressing star followed by zero. Following the presentation, instructions will be given for the question and answer session. Please note that this event is being recorded. I will now turn the call over to Quynh McGuire. Please go ahead.
Quynh McGuire: Thanks. Good morning. I am Quynh McGuire, Vice President of Investor Relations. Welcome to our fourth quarter and full year 2025 earnings conference call. We issued our press release earlier today. You can access it via our website at www.koppers.com. As indicated in our announcement, we have also posted materials to the investor relations page of our website that will be referenced in today's call. Consistent with our practice in prior quarterly conference calls, this is being broadcast live on our website. A recording of this call will be available on our website for replay through May 26, 2026. At this time, I would like to direct your attention to our forward-looking disclosure statement seen on slide 2. Certain comments made on this conference call may be characterized as forward-looking statements as defined under the Private Securities Litigation Reform Act of 1995. These forward-looking statements involve a number of assumptions, risks, and uncertainties, including risks described in the cautionary statement included in our press release and in the company's filings with the Securities and Exchange Commission. In light of the significant uncertainties inherent in the forward-looking statements included in the company's comments, you should not regard the inclusion of such information as a representation that its objectives, plans, and projected results will be achieved. The company's actual results, performance, or achievements may differ materially from those expressed in or implied by such forward-looking statements. The company assumes no obligation to update any forward-looking statements made during this call. Also, references may be made today to certain non-GAAP financial measures. The press release, which is available on our website, also contains reconciliations of non-GAAP financial measures to the most directly comparable GAAP financial measures. Joining me for our call today are Leroy Ball, Chief Executive Officer of Koppers Holdings Inc., and Brad Pearce, Interim Chief Financial Officer and Chief Accounting Officer. At this time, I will turn the discussion over to Leroy.
Leroy Ball: Thank you, Quynh. Good morning, everyone. I am pleased to join you this morning to provide more insight on Koppers Holdings Inc.'s performance in 2025 and how we see 2026 developing based upon current information. Let me start on page 4, which lists highlights for last year overall, which include adjusted EBITDA of $256.7 million and a 13.7% adjusted EBITDA margin, the second highest year on record for both when you exclude KJCC, and on an as-reported basis, 13.7% adjusted EBITDA margin actually represents a new high watermark for Koppers Holdings Inc. We reached operating profit of $167.8 million, also the second highest year on record, $4.07 in adjusted earnings per share, marking the sixth consecutive year above $4 after never reaching that mark previously, and operating cash flow of $122.5 million for the seventh straight year of more than $100 million in that category. In addition, we have tapered back our capital expenditures to a normalized $55 million, enabling a heavier capital deployment allocation to shareholders, as demonstrated by $38.2 million in share repurchases and $6.4 million in dividends. $21 million went towards inorganic growth, with a small acquisition of a utility pole procurement business in one of our targeted growth areas, UIP, and we still had $12 million remaining to pay down debt. In early 2025, we launched our transformation process named Catalyst, which delivered $46 million in benefits during the year. Catalyst helped to deliver EBITDA within 2% of prior year, while our sales declined by 10%. The conscious decisions to exit our phthalic anhydride business and sell our railroad structures business accounted for 4% of the overall sales decline, with the other 6% resulting from softer market conditions and some net loss of market share. Other benefits derived from Catalyst in 2025 include reducing our adjusted SG&A costs by 15%, while also reducing our employee count by 11% from year-end 2024, and 17% from our employment high water mark in April 2024. With 1 year of Catalyst under our belt, I believe we are on track to reach our goals of double-digit adjusted EPS growth over the next 3 years, $300 million of cumulative free cash flow over that same time period, and a mid-teens margin run rate by 2028. To ensure that our leaders remain highly motivated to achieve those goals, earlier this year, our board approved a long-term incentive program that has target goals that substantively align with the external targets I just summarized. I will speak in more detail on Catalyst later in this presentation. Let us move on to our zero harm accomplishments, as seen on page 5, which are just as important as our financial performance. We had 21 of our 41 sites work accident-free with our European CMMC and PC businesses, as well as our Australasian PC business, having zero recordables in 2025. Significant improvement was achieved company-wide, with leading activities up by 26%, which is a key contributor to our serious safety incidents being down by 70% compared with the prior year. It also led to a 19.5% year-over-year improvement in our total recordable injury rate, driving it to a new all-time best for the second year in a row. It is a true testament to our team and their leaders, who persevered through a stressful environment in 2025 and never lost focus on what is most important, the health and safety of their colleagues. Congrats to the Koppers Holdings Inc. team on a tremendous accomplishment and never losing sight of our goal of zero. Turning now to page 6, Koppers Holdings Inc. was named in Newsweek magazine's listing of America's Most Responsible Companies 2026, representing our 6th consecutive year on that list. This honor is a result of some 600 companies being evaluated on upholding their social responsibility based on key performance metrics that include environmental, social, and governance performance, financial results, and more. During the past year, we also earned recognition as one of America's Best Mid-Sized Companies of 2025 from TIME Magazine, based on employee satisfaction, revenue growth, and sustainability transparency. Like zero harm, sustainability has been woven into the fabric of how we operate at Koppers Holdings Inc., which has enabled us to punch above our weight in this area. National recognition from organizations like Newsweek and TIME help lend credibility to our results, and while this alone will not win us business, it will most definitely be part of the overall decision-making progress and maybe tip the scales in our favor when we are in a tight competitive situation. Kudos to the Koppers Holdings Inc. team for refusing to just check the box on zero harm and sustainability, and instead making it a way of life at Koppers Holdings Inc. I will return in a bit to provide my view on how we are seeing the current year within each business, while also reviewing our 2026 projections and give more flavor for our potential in 2027 and 2028 as Catalyst hits peak acceleration. Before I turn things over to Brad Pearce, our Interim CFO and Chief Accounting Officer, I would like to take a moment to recognize Jimmi Sue Smith, who announced her retirement from Koppers Holdings Inc. earlier this year. Jimmi Sue joined Koppers Holdings Inc. as our VP of Finance and Treasurer mere weeks before the pandemic in 2020. She was part of a leadership team that navigated the company through those trying times and positioned us for success as the world gradually returned to a new sense of normal. She was promoted to be the company's CFO, excuse me, in January 2022, and continued making her mark by leading the shift of capital deployment towards shareholders by reinstating the company's quarterly dividend and taking a more aggressive approach to repurchasing our undervalued shares. I could go on and on with Jimmi Sue's accomplishments. I will save that for her retirement celebration and just finish by saying that I thank her for her contributions and wish her the best in retirement. Now, I will turn it over to Brad, who has done a wonderful job stepping into the CFO role as we go through a more deliberate search process for Jimmi Sue's successor. He will speak in more detail to our fourth quarter and full year financial performance.
Brad Pearce: Thanks, Leroy. Earlier today, we issued a press release detailing our fourth quarter and full year 2025 results. My remarks today are based on that information. As seen on slide 8, we reported consolidated fourth quarter sales of $433 million, down $44 million or 9% from the prior year. Relative to the prior year quarter, RUPS sales decreased by $7 million or 3%. PC sales were down $20 million or 14%, and CMMC sales decreased by $17 million or 15%. As shown on slide 9, full year sales totaled $1.9 billion, a 10% drop from prior year sales of $2.1 billion. RUPS continued to be our largest segment, with sales of $927 million, followed by PC with sales of $544 million, and CMMC with sales of $409 million. Each segment was lower as compared to the prior year, with a 2% decrease at RUPS, followed by 17% and 18% decreases for PC and CM&C, respectively. On slide 10, adjusted EBITDA for the fourth quarter was $53 million, which represents a 12.3% EBITDA margin on sales. By segment, PC delivered adjusted EBITDA of $28 million, followed by RUPS of $22 million and CM&C of $4 million. PC led with adjusted EBITDA margin of 22%. RUPS maintained adjusted EBITDA margin above 10%, while CM&C reported a 4% margin. Full year adjusted EBITDA results, as seen on slide 11, were $257 million, reflecting a 13.7% margin. RUPS adjusted EBITDA was $108 million, returning a 12% margin, while PC delivered adjusted EBITDA of $103 million, a 19% margin. CMMC adjusted EBITDA totaled $46 million, resulting in an 11% margin. Focusing on the RUPS business, slide 12 shows fourth quarter sales of $209 million, compared with $216 million in the prior year quarter. Approximately $5 million of the decrease in sales was due to lower volumes of commercial crossties and lower activity in the maintenance of way businesses. The lower maintenance of way revenue is due in part to the sale of our railroad bridge services business earlier this year. These were partly offset by volume increases in our domestic utility pole business of around 10% and $4 million of price increases, mostly in crossties. Rupp's delivered improved adjusted EBITDA of $22 million, compared with $18 million in the prior year. The improved profitability was primarily driven by approximately $7 million in lower operating expenses, coupled with decreased SG&A costs and net sale price increases. These improvements were partly offset by net lower sales volume. Turning to slide 13, our Performance Chemicals business reported fourth quarter sales of $128 million, down from $148 million in the prior year quarter. The decline in sales was primarily due to volumes decreasing by 16%, mostly as a result of market share changes in the United States. This was partly offset by net sales price increases. In spite of the drop in sales, adjusted EBITDA for PC was $28 million, just below the $29 million of adjusted EBITDA in the prior year quarter. While profitability was impacted by lower sales volumes, it was largely offset by lower raw material costs, net of our Koppers Holdings Inc. hedging program, lower logistics costs, and higher royalty income. Slide 14 shows that sales in the fourth quarter for our CM&C business were $96 million, compared to $114 million in the prior year quarter. This decrease was primarily driven by $17 million of lower volumes related to our discontinued phthalic anhydride product line, lower volumes and sales prices for carbon black feedstock, and a 7% reduction in prices globally for carbon pitch. These were partly offset by volume increases in carbon pitch, primarily in Australia, and around $4 million of favorable impacts when translating our foreign currency sales into U.S. dollars. Adjusted EBITDA for CM&C in the fourth quarter was $4 million, compared with $9 million in the prior year quarter. This was due to net sales price decreases and lower plant utilization, partly offset by operating cost savings associated with discontinuing our phthalic anhydride business. Compared with the fourth quarter of 2024, the average pricing of major products was lower by 4%, while average coal tar costs were higher by 10%, which led to lower EBITDA margins. As shown on slide 16, we continue to pursue a balanced approach to capital allocation. In terms of investments to position ourselves for the future, $12 million was related to the termination of our U.S. pension plan. $21 million was earmarked for the acquisition of the utility pole procurement business, and approximately $48 million was allocated for capital expenditures, net of cash received from insurance proceeds and asset sales. Our share buyback activity in 2025 totaled approximately $38 million, or a total of just under 1.3 million shares. We have approximately $67 million remaining on our $100 million repurchase authorization. In addition to the share repurchases, we also returned capital to shareholders during 2025 through our quarterly dividend of $0.08 per share. At December 31, we had $383 million in available liquidity and $881 million of net debt, representing a net leverage ratio of 3.4 times. We remain focused on our long-term goal of reducing the net leverage ratio to 2 to 3 times. On slide 17, total capital expenditures for the year were $55 million gross, or $48 million net of asset sales and insurance recoveries. The majority of our investment was allocated to maintenance capital spending of $45 million, with spending on zero harm initiatives and growth and productivity projects, each totaling less than $6 million. Capital expenditures were evenly distributed among the three business units of between $15 million and $19 million apiece. We are projecting CapEx to be approximately $55 million in 2026, a level on par with 2025. Finally, as highlighted on slide 18, our board of directors declared a quarterly cash dividend in February of $0.09 per share of Koppers Holdings Inc. common stock, reflecting a 13% increase from 2025. This dividend will be paid on March 23 to shareholders of record as of the close of trading on March 6. While future dividends are subject to ongoing board approval, maintaining a quarterly dividend at this rate will result in an annual dividend of $0.36 per share for 2026. With that, I will turn it back over to Leroy.
Leroy Ball: Thanks, Brad. Before I dive into each of the businesses, I would like to provide our perspective on the recent Supreme Court ruling, which vacated tariffs under IEEPA. Prior to the ruling, we were estimating a tariff impact on our business of around $5 million-$6 million in 2026. Removing the IEEPA tariff and replacing it with a worldwide tariff of 10% essentially reshuffles the deck and leaves us in a slightly better position. Of course, these are only in place for 150 days, the administration has promised to use this time to put more permanent tariffs in place, it remains to be seen how it will impact our business. Perhaps a greater concern are potential tariffs under Section 232, which has an ongoing investigation into refined copper imports. We do not import copper for our products, as we use domestically sourced scrap copper, for unhedged copper requirements, any tariff on refined copper will increase the market price of this key raw material for our PC business. The uncertainty of tariffs continues. The numbers seem to change from day to day. While I am providing our most current view, that can obviously change quickly. For now, I am going to review the market outlook for each of our businesses, starting with Performance Chemicals on page 20. Let me lead with the good news. We are projecting a top-line increase of approximately 11% in 2026, driven entirely by market share expansion in both our residential and industrial product lines. A large component of our Catalyst initiatives for PC centered around converting commercial opportunities that we knew were in play coming into 2026 as new business. We realized success on a number of accounts, refocusing our attention on serving the customer, while also demonstrating the value of our R&D and tech service capabilities to convert a portion of business to new technology. In addition, our PC team continues to be focused on commercializing the next generation of reduced copper wood preservatives and in-demand fire retardants. Moving to the external market data, we interpret market sentiment as neutral to slightly positive for 2026, with our internal models reflecting overall flat market demand. Existing home sales in 2025 were flat compared to 2024, and while a fourth quarter upswing gave some hope of stronger existing home sales activity in 2026, January's numbers were disappointing as they registered an 8% month-over-month decline, getting the year off to a tough start. The average mortgage rates fluctuated between 6.2%-6.3% in the fourth quarter, down from earlier in the year. The rates are currently at about 6%, and expected to moderate slightly in the near term, although that is not expected to have a meaningful impact on the housing market. The leading indicator of remodeling activity, or LIRA, is forecasting year-over-year growth in home renovation and repair spending of 2.9% in early 2026, and eventually easing to 1.6% growth by the fourth quarter. Building product sentiment remains neutral, with cautious optimism in select commercial and infrastructure segments. Listening to our customer base, it seems the disappointment of 2025 is still fresh in their minds, and so they are reluctant to build in any significant rebound until they can get clearer signals. This has our model for 2026 baking in flat organic volumes for residential products, with a modest low to mid-single-digit volume increase expected for our industrial product segment, driven by growth in utility pole demand. On the cost side of the equation, excluding copper, we are expecting a mix of increases and decreases in our raw materials to mostly balance out and have little impact. Copper prices have continued their steady rise over the past year and currently are 25% higher than average prices for 2025. Because of our hedging strategy, we are mostly insulated from the increase at current price levels, assuming scrap copper pricing continues to behave as it historically has. The price separation between the LME and COMEX indices that we discussed last year has not been an issue recently, but changes in the tariff environment could see this return. In the meantime, we continue to work to manage this risk. If the copper markets do not abate as we enter into contract discussions later in 2026, current prices would represent a $50 million pricing pass-through necessary to account for the increased copper costs. The Catalyst benefits for Performance Chemicals targeted in 2026 are mostly commercially driven and are already secured, where PC results ultimately end up in 2026 will depend more on the direction of base demand compared to our flat outlook and the uncertain cost environment driven by tariffs. Moving on to our utility and industrial products business, shown on page 21. Market sentiment remains bullish, mainly due to increasing electrical demand related to build out of AI infrastructure. In addition, it is anticipated that crypto mining, EV development, and new manufacturing will contribute to increased electrical demand over the next five years. Utilities are being pressured to limit price increases resulting from higher demand, and data centers owned and operated by large tech companies are expected to be required to share the resulting cost burden with consumers. Now, we entered 2025 with a clear objective to grow our business outside of our traditional regional markets in the U.S., and we were able to do that, growing our non-traditional markets by 17% on the top line while keeping our core regional markets flat, which resulted in an overall 6% sales increase. We are targeting an even greater top-line performance in 2026, driven once again by growth in targeted regions, added sales from the pole procurement acquisition made in late 2025, and a modest organic market improvement after lower than expected growth last year. In 2025, we made investments in our distribution assets, fiber supply, technology platform, and sales team, including adding new sales leadership at the beginning of 2026 that we believe position us as a formidable competitor on new accounts. As to the acquisition I referenced, in December, we acquired a small business specializing in the procurement of Douglas fir fiber, which is traditionally used for transmission poles. This is important for solidifying opportunities to grow our sales base by adding to the opportunities we have historically been shut out from, due to not having that wood species in our portfolio. It represents our next step in building out our portfolio in a measured way. To quell any worries that we would spend significant amounts of capital in the hopes of future business, this transaction represents a lower cost, lower risk approach to securing a new critical supply chain. This will open doors in existing markets while also providing a platform to potentially build from as we think further about the Western markets. While sales showed modest gains in 2025, we took a step back on our cost management in UIP last year. That makes this business ripe for the planning and execution discipline that Catalyst fosters. Opportunity abounds on the cost front in UIP. We will be going after it hard in 2026. Of the improvement targeted for UIP in 2026, over three quarters of it is cost related. Part of the cost improvements relate to a consolidation of production resulting from the recent idling of our plant in Vance, Alabama, mentioned earlier. That production has moved to our nearby facility in Kennedy, Alabama, which will realize the benefits of improved cost absorption. Vance will remain in our network, but not operate as we continue to monitor our long-term manufacturing requirements in this important growth market. The market outlook for our railroad products and services business is summarized on page 22. Railroad industry consolidation continues to impact market trends and the pressure to improve operating performance, resulting in reduced capital spending by our customers. As mentioned on prior calls, for the second straight year, our railroad customer base reduced their forecasted tie requirements communicated to us heading into the calendar year, as they pulled back on their tie programs. Thankfully, this past year, we were able to balance out the lower than anticipated volumes with some aggressive cost actions, improving our profitability in this business to a level not seen in a decade. As we approach customer discussions for 2026, two Class I customers indicated an additional pullback in volume for this year, which would have a significant impact on our RPS profitability without some counteraction. We believe we have been able to primarily offset that impact in 2026 by agreeing to provide price relief while receiving a larger contractual commitment from one customer, as well as an extension of our current agreement. We are also mitigating the impact of lower volume from a second customer by idling production capacity and consolidating operations across our remaining treating network, as mentioned earlier. There is a lot going on with the Class I customer base, but the main point for our shareholders is that we are in the most competitive position to capitalize on a Class I market dealing with a lot of uncertainty right now. While the pie may be smaller, our piece of it is expected to grow to volumes that we have not seen since 2017. The commercial crosstie market remains very competitive, but we continue to make inroads there, and as of the end of January, have the highest backlog that we have had in the past five years. As for operations, we have realized much of the low-hanging fruit over the past 18 months and are looking to maintain the gains we have made heading into 2026. Much of the benefit has been derived by doing more with less. In 2025, we had 1% more in crosstie sales than 2024, with 38 or 7% fewer people than where we ended 2024. In the crosstie portion of our business, we are down by 105 people, or 16%, compared to our peak employment level at April 2024. The idling of the plant that I mentioned will result in another net 76 employee reduction, which will serve to offset anticipated price reductions. Sawmills are experiencing the impact of the industry pullback, resulting in sharply reduced production and widespread mill closures. It remains to be seen what long-term impact this could have on hardwood availability and pricing, but in the near term, it is a buyer's market. Catalyst benefits included in our 2026 projections primarily relate to plant consolidation, material waste reduction, and commercial and operations improvements. The outlook for our CMC business is summarized on page 23. Overall, the CMC market remains in turmoil, as evidenced by sharply reduced financial performance realized in Q4. Structural improvements made in 2025 by closing our phthalic anhydride plant, along with successfully executing on several Catalyst initiatives, are projected in the near term to be offset by higher net global coal tar costs, reduced throughput as a result of a key raw material supplier exiting the market, and pricing pressure brought on by trying to maintain business in a troubled market. On the plus side, we do have a strong base of raw material supply locked down for several years in each of our geographic markets, which assures us a certain level of throughput. Also, as mentioned during my RPS commentary, I believe we are positioned to grow our share of the crosstie market, which will provide a strong baseload of creosote demand. The strong connection of our U.S. and European logistics network also keeps us on par with our major competitor. It also provides an advantage against other European competitors, more reliant on less attractive export markets to supplement their domestic customer base. We think we will see some capacity rationalization in Europe at some point as it gets tougher to withstand the current market headwinds. The loss of tar supply in the U.S. from a supplier that is closing their coking operations presents a challenge to U.S. operations. It presents an opportunity for our European operations to increase their share of the market as they have ample raw material availability. Catalyst benefits targeted for CMC in 2026 cover all aspects of the business, from production to logistics, procurement, and sales. Our greatest opportunity for improvement remains in CMMC, I have confidence that we will see it realized over the next three years. As shown on slide 24, we are about a full year into our Catalyst transformation and executing successfully on many initiatives. The $46 million of benefits that we realized in 2025 more than offset the $40 million something impact of lower sales on our PC business, and almost got us back to our 2024 adjusted EBITDA level. As we have continued to evaluate Catalyst opportunities, we have been able to increase our pipeline from what we previously communicated, and now believe we can generate up to $75 million of benefits in the 2026 through 2028 time frame, compared to the $40 million that we had expected back in November. The main driver for the increase is due to the optimization of our manufacturing network, and we were also able to add to each of the other targeted functional areas. Of the $75 million estimated over the next three years, we have targeted between $20 million and $40 million as achievable in 2026. Like 2025, we are experiencing headwinds that are preventing the full impact of the benefits from being reflected in EBITDA, although adjusted EPS and operating and free cash flow should both increase significantly. I will reiterate what I said back in November. When I look at our full potential, I see an organization that should be able to deliver 15%+ margins on a consistent basis, an organization that should be able to drive earnings improvement of greater than 10% on average over the next three years. An organization that should be able to reduce leverage to the low end of our stated range, below two and a half times, driven by significantly greater free cash flow generation. What we have targeted to be $300 million or more over the next three years. Our path to get there is the continued evolution of our portfolio that would make PC and RUPS a larger share of our top and bottom line as we focus on our more structurally sound businesses that have opportunity for growth and have proven to consistently generate higher margins with lower capital requirements. You are seeing that playing out in our 2026 projections, which I will move on to now. As shown on slide 26, our consolidated sales guidance of $1.9 billion-$2 billion in 2026 compares with $1.88 billion in 2025, with PC and RUPS making up 80% of our top line, the highest percent of total sales in company history, and closing in on our 85% of sales target. On slide 27, we are forecasting adjusted EBITDA of $250 million-$270 million in 2026, compared with $257 million in 2025. The biggest risk to achieving the midpoint include realizing the lower end of our Catalyst capture rate and seeing further end market softness. Additional risks are higher costs, driven by tariffs or other factors, and extended operational disruptions. Our biggest opportunities of exceeding the midpoint are if we meet the higher end of our Catalyst capture rate and see end markets strengthen. Slide 28 shows our adjusted earnings per share bridge, reflecting a range of $4.20 to $5.00 per share in 2026, compared with $4.07 in 2025. At the midpoint, the contribution from operations, interest savings, lower depreciation and amortization, and benefits from a lower share count are partly offset by higher taxes from higher net earnings. While we do not provide quarterly earnings guidance, it is worth noting that our first quarter this year will be the weakest of the four. This is due to the greater than normal effect of the severe winter weather that has impacted our operations and shipping schedules. In addition, there are several Catalyst initiatives that are in earlier stages and will not pick up momentum until the second and third quarters. On slide 29, as I have been signaling for the past several quarters, we are expecting to see a sizable jump in both operating cash flow and free cash flow this year. As a result, this will provide the most cash we have had for debt paydown since 2020, when we received the cash proceeds for selling our KJCC business. Not only would operating cash flow and free cash flow represent new highs at these projected levels, but more importantly, 2026 will represent an inflection point for our step change in cash generation, as we expect these new higher levels to become the norm. At our current market cap, this equates to a better than 15% free cash flow yield. This places Koppers Holdings Inc. at the top end of whatever industry you want to compare us to and provide several attractive options for how we deploy our excess cash. This also implies about a  50% opportunity in our share price just to bring it back to the current 10% yield level based on 2025 free cash flow. The foundation we have built over the previous five years has set us up to create significant shareholder value over the next several years. I am confident we will deliver. We still maintain leading shares in niche markets that utilize our essential products with low capital requirements in the near term and rising cash flows to deploy towards further reducing our share count and our debt. I would like to open it up to questions.
Operator: We will now begin the question and answer session. To ask a question, you may press star, then one on your telephone keypad. If you are using a speakerphone, please pick up your handset before pressing the keys. To withdraw your question, please press star then two. At this time, we will pause momentarily to assemble our roster. Our first question comes from Gary Prestopino with Barrington Research. Please go ahead.
Gary Prestopino: Good morning, everyone.
Leroy Ball: Hi, Gary.
Gary Prestopino: Hey, Leroy. I want to refer to slide 20 here with the PC business. Last year, you said there was a competitor that came in and took share, lowered prices, now what you are saying is that for 2026, you are looking at market share capture in both residential and industrial markets. You have raised prices. Could you maybe square what is actually going on and take a deeper dive into that market, how you are able to get share? Prior share was lost because of, you know, price competition.
Leroy Ball: Yes, so Gary, we did take a market share hit in 2025. It was the, you know, the most significant portion of our PC sales decline.
Gary Prestopino: Mm-hmm.
Leroy Ball: You know, there was some business that was available to potentially recapture in heading into 2026, and we were able to, you know, convert on a portion of that. There is, I would say the bulk of the business that we are adding in 2026 is unrelated to that market share loss. It is current customers where we, you know, had already had a pretty good footprint with them, but through some consolidation that they had done, that had business with, again, one of our major competitors, they had elected to move some of that business over to our new technology in those areas. That is a good piece of it. You know, the industrial business we have made inroads in over the past number of years, so there is kind of nothing new from that standpoint. I will say, and I do want to make sure I clarify, like, we are not growing market share and improving price in 2026. That is not happening. You know, it is a competitive market out there. It continues to be. You know, I expect that we will see some price compression in 2026, but we will see market expansion in 2026 on the PC side.
Gary Prestopino: Okay. You may have done this. There is a lot of information here we have got to go over, obviously. Did you kind of segment what you anticipate the Catalyst benefit to be in 2026?
Leroy Ball: Yes, I mentioned in my prepared remarks, I think, We are targeting somewhere between $20 million and $40 million of Catalyst benefits in 2026.
Gary Prestopino: Okay, thank you.
Leroy Ball: Yes.
Gary Prestopino: I am sorry, I missed that.
Leroy Ball: No, no worries.
Gary Prestopino: I am trying to keep up with everything.
Leroy Ball: Yep.
Gary Prestopino: Lastly, and it just a kind of a philosophical question here. You, in the slide 24, where you are talking about your objectives of getting PC and RUPS up to 85% of sales.
Leroy Ball: Yep.
Gary Prestopino: I would assume that you would expect at least the percentage of EBITDA contributed to be at that 85% or better from both of these divisions?
Leroy Ball: That would be correct.
Gary Prestopino: Okay. Can I just... The rationale for even keeping the CMMC business, now I understand that you have got, you know, some intercompany sales there with the creosote and all that, but is that really the rationale for keeping that as it becomes so small? Could you possibly sell it and get, you know, contracts locked in, that would be advantageous to you for your supplier creosote?
Leroy Ball: Yes. Good question, right? Complicated answer. Long complicated answer.
Gary Prestopino: Oh, no.
Leroy Ball: No, no. I mean, you know, because it is a, you know, it is a significant, it is a significant component of our supply chain. There is no question there is that.
Gary Prestopino: Yeah
Leroy Ball: that component of it, right?
Gary Prestopino: Mm-hmm.
Leroy Ball: Which, you know, can, I think, you know, you can probably work through that potential complication. You will end up having to deal with it whenever, you know, whatever contract you put in place ultimately ends up coming to an end, which it will at some point in time.
Gary Prestopino: Right.
Leroy Ball: In terms of in initially, yes, that can probably be overcome. You know, I would say, you know, you have got issues around a descaling of the entire organization as a result of that, and stranded costs that would come. You know, the environmental footprint around that would probably be somewhat restrictive in terms of what you might be able to get in terms of an attraction for an individual wanting to come into the market.
Gary Prestopino: Mm-hmm.
Leroy Ball: You know, consolidation opportunities are really limited, because there is only a few folks that are really doing it, in our geographies that we serve. You know, there is just a whole host of constraints around that.
Gary Prestopino: Right.
Leroy Ball: Look, I mean, I have continued to say, and, you know, it is not just, you know, it is not just bluster. I mean, we continue to look at our business portfolio actively. If you have looked over, you know, the 11 years that I have been doing this job, our portfolio has shifted dramatically in terms of businesses that we have gotten into, businesses we have gotten out of, operations that have been rationalized, those sorts of things. We are constantly looking at that. Where we see opportunities to improve by, you know, by peeling back in some of our lower value areas, we will look to do that. You know, nothing is off the table, and that is something that we will continue to look at as we do regularly.
Gary Prestopino: Okay. Thank you so much.
Leroy Ball: No, you are welcome.
Operator: The next question is from David Marsh with Singular Research. Please go ahead.
David Marsh: Hey, thank you guys for taking the questions. Appreciate it.
Leroy Ball: Yep.
David Marsh: Just wanted to start, if I could, with a couple of kind of housekeeping type items. First, noticed that the DNA went up about $2 million sequentially versus Q3. Was hoping maybe you guys could give a little bit of clarification around that and kind of what the execution would be going forward. I did not know if maybe that was because of the sale of the business.
Leroy Ball: I, you know, I, I do not have, you know, those details handy. I will say that, you know, you know, we are, again, as part of what we are doing relative to, you know, keeping costs in check, there is a lot of work and initiatives that continue to be in process around, SG&A and operating costs in general. Any particular.
David Marsh: I am sorry, Leroy. I am sorry, Leroy. If I said SG&A, I meant DNA.
Leroy Ball: DNA. Okay, thank you.
David Marsh: DNA bumped up a couple million dollars sequentially. I was getting a little confused there.
Leroy Ball: Oh, okay. Okay, no problem. I will, you know, I will turn that over to Brad, maybe, and ask him to comment on the DNA.
Brad Pearce: Yeah, you know, I think the DNA obviously is going to change as we close, you know, projects and begin to depreciate them. I think it is really just probably a combination of some timing, right? We came off a couple of years of some higher capital spending, and that is now, you know, moved into depreciation phase. What can also be coming through depreciation might be some impacts for, you know, asset retirement obligations. As you know, we closed our phthalic operation in 2025, and some of those charges might be coming through for that.
Leroy Ball: One thing I will say, David, is, you know, I referenced, we are expecting DNA to drop by a couple million, I think, in 2026, and would expect some further moderation as we, you know, basically have a certainly the next several-year run rate at a more normalized CapEx number that is below, you know, that current DNA run rate. Would expect that to improve as the years, at least over the next several years.
David Marsh: Got it. You talked about Catalyst perhaps driving as much as $20 million-$40 million in savings in 2026. I mean, how would that break out in terms of a split between, like, COGS and SG&A? Would it have a, you know, kind of a little, maybe a little heavier impact on the COGS side, or is it kind of equally split, or how does that play out? Because I noticed the gross margin in the quarter was really nice. It was up really nicely.
Leroy Ball: Yeah. It will be heavier on the COGS side. I mean, we got a lot of the low-hanging fruit on SG&A. There is still more we think we can do there. But it will be heavier on the COGS side. COGS and commercial benefits as well. You know, there is pieces to it, so we tend to default and sort of think of Catalyst as it relates to the cost side, but there is a, you know, a heavy component about this that is about putting ourselves in a position to, you know, win more profitable business. When I mentioned PC as an example, 2026, most of our Catalyst initiatives were centered around commercial, it was about being able to win additional business, take some additional market share, and we have achieved that, right. That is going to come through in the form of some of the market share penetration and increased revenues, as well as the profits that will come from that.
David Marsh: Got it. Got it. Very helpful. Your interest expense in the fourth quarter was down a good bit sequentially on a percentage basis. You know, the overall debt was not really down a lot. Like, is there what, can you talk about what is at play there? I noticed, you know, it did look like you guys put some swaps back on in terms of the derivatives contracts coming back on the balance sheet. Maybe just give us a little bit of color around that.
Brad Pearce: Just, sorry, interest expense? Yeah. Yeah.
David Marsh: Yeah, it was down sequentially.
Brad Pearce: Yeah, well, yeah, I mean, we are obviously getting some benefit on lower rates coming through, you know, as well as, you know, again, just lower overall borrowing. You know, that did have an impact. You know, our swap profile, where we have converted, you know, some of our variable into fixed, that has not changed, you know, over the past year.
David Marsh: Okay. All right. Well, hey, thanks very much for taking the questions, guys.
Leroy Ball: Yep, thank you.
Operator: The last question comes from Michael Mathison with Sidoti & Company. Please go ahead.
Michael Mathison: Good morning, you guys, and congratulations on all the margin improvement.
Leroy Ball: Thank you, Michael.
Michael Mathison: In particular, the adjusted EBITDA margin in PC was up 370 basis points sequentially, so quite an achievement. Can you comment on what drove the upswing, and is that the new normal? Is that margin level sustainable?
Leroy Ball: You know, there is things that move around, if you will, right? It is not always, you know, clean quarters, I would say. We did have a benefit of an asset sale that I think helped their results for the quarter and probably added a little bit of that. That is, you know, something that is not repeatable. Overall, I would say the margin profile, I was really pleased with what they were able to do through a challenging, you know, sales year. I think with what we are doing moving forward, we certainly expect that we are going to be able to generate margins that are in that range on a go-forward basis. I will not necessarily commit to, again, getting back up above the 20% profile at this point. There is just still too many moving parts. You know, as Brad talked about, you know, relative to, you know, copper and things like that, you know, those sorts of things, you know, we try to insulate ourselves from, but there is always some level of exposure. We have, sometimes we are more successful at getting greater discounts than others, there is a whole bunch of factors that come into play there. I guess the main point I would say is, we were pleased with the overall margin performance, not just in Q4, but for the full year for PC, and expect that we will be able to continue to generate in that range, and obviously targeting to do a little bit better than that. You know, we think we have done a pretty good job of putting that business in a position to still consistently generate on the high end of the margin profile spectrum.
Michael Mathison: Thanks. Turning to the CMMC business, you have spoken previously about potentially reducing the footprint at Stickney to a single column. Are you still planning to go ahead with that? What would that mean for CMMC margins? Is there any revenue impact from lost business?
Leroy Ball: Yes, it is a good question. There is a high likelihood that we will be heading in that direction because we think that there is a whole host of benefits that come about as a result of that. In terms of what impact that would have on the revenues and profitability, nothing, as it relates to 2026, because of raw material that we already have in inventory that we need to run through and things of that nature. That would not be something that would be realized until, you know, we kind of really move out into 2027, the 2027 timeframe. The fact that we have less raw material to work with obviously means that, you know, we will be generating less sales as a result of that. If we move down to a single column, we think we can certainly cut costs as part of that, and, as long as pricing remains stable, improve our overall margin profile for that business. That is, it is part of the Catalyst initiatives that, you know, we are continuing to do some work around. You know, as I have more information on that, we will talk about that and potentially up in upcoming quarters.
Michael Mathison: Great, thanks. Looking at your utility pole business, I did not see a press release about the Douglas fir acquisition. Could you just give us a little.
Leroy Ball: Yeah.
Michael Mathison: more color about
Leroy Ball: Yeah.
Michael Mathison: where they are located?
Leroy Ball: Yeah.
Michael Mathison: Will that help with your effort to, for geographic expansion?
Leroy Ball: Yeah. Yeah. Yeah, small business. It is, it is out in Oregon, and it just, it really secures up a, you know, Douglas fir supply chain for us that we were, you know, beginning to access out over the last, 12 to 18 months. You know, there was a level of risk that, you know, that could potentially put us in a spot where, you know, we, you know, we would be, you know, dependent upon a source that, could move away from us at any point in time. We saw it as an opportunity to lock that in, secure that source of supply and assets, and capabilities, and bring that into our portfolio, which actually, you know, we think helps improve our opportunities in some of our traditional markets, where we might have been shut out of bids that would require some Doug Fir component that we, you know, could not offer, or we would need to try and, you know, work with others to be able to provide that. Right now, it is more geared towards helping us in markets that we are already in and trying to grow. You know, it could be a, you know, a, an initial jumping off point, at some point in the future if we want to think more aggressively about expanding out further west.
Michael Mathison: Well, great. Thank you for taking my questions. Congratulations again.
Leroy Ball: Thank you, Michael. Yep.
Operator: We have an additional question from Liam Burke with B. Riley Securities. Please go ahead.
Liam Burke: Thank you. Good morning, Leroy. Good morning, Brad.
Leroy Ball: Good morning.
Liam Burke: Leroy, on PC, we talked about the puts and takes on residential, but are you making significant enough headway on the commercial side of the business, where it is actually moving the needle and contributing to this anticipated revenue growth?
Leroy Ball: I mean, we believe so. I mean, I think, if you again go back to our 2026 projections, I think that, you know, we are happy with the commercial wins that the team generated in the back half of 2025, that will carry into this year. You know, it is all good business, and it certainly helps us on the throughput side as well in our plants. You know, we are a manufacturer, right? I mean, the more we can put through our plants, the better we are going to do. You know, you are always balancing those things out against any potential price trade-off that you have. Throughput is king in our world, and so, it is important to be able to have that volume. The team again, our team came back strong in 2025 with a sort of a really a refocused effort on ensuring that we were making sure that our customer base understood that we value what they do for us, and we want to do everything we can to not just meet their needs, but exceed their needs and expectations. I think we were able to regain some confidence in some areas, and we already had confidence in others that I think, ultimately resulted in additional business coming our way, again, as certain customers consolidated their own production activities. Real happy and pleased with the efforts our PC team did in 2025, coming back from a tough year.
Liam Burke: Great. In the past, you have talked about adding to the utility pole business by tucking in a pretty fragmented area.
Leroy Ball: Yep.
Liam Burke: Do you see opportunities there, or has pricing got out of hand with the bigger demand or increasing demand for infrastructure build?
Leroy Ball: I, you know, I think that, you know, we are always open to those opportunities and always looking and, but wanting to make sure that again, we are disciplined in that process and how we go about it. You know, there are opportunities there, Liam. You know, it is tough to say if and when any of them could shake loose, but in the meantime, we think we, you know, we still have capacity to fill, and that opens up enough opportunities for us to continue to grow our business with the existing capacity that we have on hand. That is, you know, 2025, there was a tremendous amount of effort in terms of sort of upping our, you know, sales skills, if you will, and technology, right? We have added technology, we have added new sales leadership, we have added more boots on the ground. You know, we have gone hard in areas that we feel were underrepresented and provided opportunities for us. Again, also pleased with the efforts of our leadership and team on the UIP side, and I think we will continue to see, you know, those benefits come through in, you know, 2026 as well.
Liam Burke: Great. Thank you, Leroy.
Leroy Ball: Yeah. Thank you, Liam. Yep.
Operator: This concludes our question and answer session. I would like to turn the conference back over to CEO Leroy Ball for any closing remarks.
Leroy Ball: Thank you. I just want to thank everybody for participating on today's call and for your continued interest in Koppers Holdings Inc. Look forward to connecting with you again next quarter. Take care.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.